Operator:
David Barrett: Welcome, welcome, welcome to the Q4 2023 earnings for Expensify. I'm David Barrett, CEO. We have Ryan Schaffer, our Chief Financial Officer. Let me turn it over to Nikki for legal Es.
Unidentified Company Representative: Before we begin, please note that all the information presented on today's call is unaudited. And during the course of this call, management may make forward-looking statements within the meaning of the federal securities laws. These statements are based on management's current expectations and beliefs and involve risks and uncertainties that could cause actual results to differ materially from those described in these forward-looking statements. Forward-looking statements in the earnings release that we issued today, along with the comments on this call, are made only as of today and will not be updated as actual events unfold. Please refer to today's press release and our filings with the SEC for a detailed discussion of the risks that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. Please also note that on today's call, management will refer to certain non-GAAP financial measures. While we believe these non-GAAP financial measures provide useful information for investors, the presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Please refer to today's press release or the investor presentation for a reconciliation of these non-GAAP financial measures to their most comparable GAAP measures.
Ryan Schaffer: Excellent. Thank you very much. All right. Let's get started. First, let's go over the fiscal 2023 financial fiscal year 2023 financials. We had revenue of $150.7 million. Our average paid members were $732,000 and we had a net interchange of $11.1 million. Our operating cash flow was $1.6 million. Our free cash flow was $600,000. The difference between operating cash flow and free cash flow is -- we take out the customer funds, which can vary throughout the month, so the timing can throw that off a little bit. Our GAAP net loss was $41.7 million. Our non-GAAP net loss was $500,000, and our adjusted EBITDA was $13.2 million. Now let's talk about Q4. We had $35.2 million in revenue. Our average paid members were $719,000 and we had $3.1 million in net interchange. Cash used in operations was $500,000. Free cash flow was negative $3.6 million, net loss was $7.5 million. Non-GAAP net income was $3.1 million and adjusted EBITDA was $5.9 million. Obviously, these numbers are an improvement over Q3. As we discussed last quarter, I mentioned that we're going to be implementing some cost-cutting measures. We did implement those, and we saw a pretty positive turnaround in terms of our financial metrics. Our operating cash flow improved by $4.9 million, which is a 90.2% increase quarter-over-quarter. Our free cash flow improved by $3.5 million, which is a 49.3% increase quarter-over-quarter. Our net loss improved by $9.5 million, which is a 55.9% increase quarter-over-quarter, and our non-GAAP net income improved by $9.8 million which is 146.3% increase quarter-over-quarter. Our adjusted EBITDA improved by $9.4 million, which is a 268.6% increase quarter-over-quarter. So it's a pretty stark difference from the third quarter to fourth quarter. So you can see the drastic impact in those cost-cutting expenditures that we did. As such, we're going to be initiating a full year free cash flow guidance to provide a more clear picture on the cash impact from these recent cost reductions. That's something that the investor community requested of us, and we're going to be providing that. So our fiscal year 2023 operating cash flow was $1.6 million, and our free cash flow for 2023 was $0.6 million. In 2024, we're projecting free cash flow between $10 million and $12 million, which is obviously substantially higher than we did in 2023. We always show paid members for the first month of the quarter. So in Q1, in January, we saw payers of $690,000. We've highlighted January is usually a bit soft on users. We've highlighted previous Januarys in PINK. And as you can see, they're usually a little bit down and this January is the same. I want to give a very exciting update on the expensify by card. As I mentioned earlier, the side card grew 63% to $11.1 million year-over-year. We've also added a new benefit to the card, our accounting partners who onboard their clients to the expensify by card now receive 50 basis points of revenue share for the clients. We've seen a lot of enthusiasm for the expensify card in the accounting channel. And now we have a little bit larger incentive for them to really spread the good word of the expensify card to the customers. We also and this is the most exciting part -- we've been talking about this for a while. I get questions on it every single quarter. We have established our new card program, which earns more interchange per transaction. All existing customers are expected to be transitioned by the end of the year 2024, and all new big and site card customers are being put on this new card program. That's very exciting because it's an improvement in accounting treatment. So previously, interchange was a contra expense in cost of revenue and not revenue, which is confusing for everyone. This is now more straightforward. It's been put on the balance sheet in the manner that you would expect. And interchange going forward under the new program will be categories as revenue instead of a contra expense and cost of revenue. And on top of that, we're also earning about 20% more interchange fees. So if our same customers we didn't grow at all and we didn't have any increase in spend, the same transactions that we had in 2023 under the new program, that will be 20% higher. And with that, I will hand it over to David.
David Barrett: Okay. So as Ryan explained, 2023 was a pretty good year. In fact, I would say it was a great year for the things that are under our control, pretty much everything under our control is either stable or improved, but there was one glaring exception. So this chart -- this complicated waterfall chart, let me walk you through it. And so what we can see here is kind of a breakdown of the major reasons that we gained and lost paid users over the course of the past couple of years. In 2022, we added 42,000 paid seats from new customers. And in 2023, we added about 43,000. So about the same between 2022 and 2023. Likewise, in the two years, in '22, we lost about 62,000 paid seats to churn, basically customers leaving the platform, going out of business, whatever it might be. And we lost about 62,000 in 2023 as well. So new customer acquisition for seats and also churn seats were basically the same year-on-year, but there was a big difference when it comes to customer expansion. You can see in 2022, our existing customers added about 85,000 paid seats. And that's been a huge tailwind in our business model is that we've grown basically when our customers have grown. 2023 is kind of a brutal year for our customers. As you can see, these same customers lost 42,000 seats. So basically, in '22, they added 42,000 -- or they added 85,000 seats in '23, they lost 42,000 seats. The net of that is over the past couple of years, we added about 4,000 active seats. But you can see as kind of a rollercoaster ride to get there. So our business, the actual fundamentals of the business itself, do customer acquisition, customer churn and so forth, actually quite stable. It's just the expansion and contraction of our existing customers themselves that hired people laid out on people wherever it might be. That's what accounts for the huge swing basically in the paid seats themselves. So the year itself was actually we think, pretty good. It was a difficult year for our customers, and that reflects through basically our results. And so if you think about how the year self is spent, it was really kind of a year of planting and 2024 is a year of harvesting, if you will. And one of the things we really plan to invest in is basically expanding our SEO and the keywords themselves. If you can think of it in terms of the top 100 SEO -- top 100 search results for each keyword, we've really expanded kind of the broad breadth of the number of keywords that we're going after because if you want to get in the top 10, you got to stop start in the top 100. And so you can see that we've had really, really sizable gains in the number of keywords that actually we rank for at all. Now if you dig into the keywords that were in actually the first page, that's where we do even better. It's like a really strong growth and actually the keywords in the first page. And so our SEO investment, which we've been strong in the past, so it's a big sort of machine to improve, but it's going to move proven pretty quick and really happy with that. And so the results there is we've seen actually our SEO traffic itself really just increased as well. Again, we've always been strong from an SEO perspective. And so it's sort of a big freighter to churn, but it's been really improved, and so that's been great. And so in 2023, we think we've really improved our SEO game and that's, I think, positioned us really well for continued growth in 2024. Now if you talk about some of the functionality that we launched last year as well. What of my favorites has got global reimbursement. So as you recall, we have customers all over the world, especially some of our large multinational companies with entities in multiple tritictions. So one of the most common features we've had from our large enterprise customers is global reimbursement capability. And so this is something that we launched last year, really have traction overall. You can see it's been growing exponentially over since launch. Even in the past couple of months, we've seen a 35% increase in the number of enterprise customers taking up global reimbursement. So this has been a great sort of a feature that our customers have asked for a long time, and we're really happy to have delivered. Also excited to talk about expensify chat. I know I've been talking about this forever. So we're really, really happy with the traction we've had in the past couple of years here. Also excited to talk about expense by chat. I know I've been talking about this forever. So we're really, really happy with the traction we've had in the past couple of years here. And we can see that basically chat has been around for a while, and it's been growing very quickly, especially in the past couple of months here, where we've seen that actually 7,000 distinct companies have started using chat internally. And so that's just within the past year, it increased over 250% increase number of customers that are choosing to use expensify chat inside their company. And that's actually a huge test of physical. This is -- right now, it's actually a different app. It's a different website. You have to go to do expensify to get it. And so this is showing existing customers are going to a new website to use this new functionality. Now recall, right now, Chat is a free feature. And so we're attracting the seats to make sure that we can charge for it in the future. But right now, it's actually just a free add-on to existing customers, but we're really happy that customers are finding value in it, so much so they're going through different apps of experience it. And so we think that all of this leads into a great future for a new expense pie. With that as time, you might recall that new expensify it's a completely open source community that is contributing towards it. And that open source community has grown staggeringly over the past year. Within the past year, we've gotten over 100% or contributors to the open source repo itself into that rate. And so we're actually having really strong growth in the community itself. -- and which is building -- it's basically been a huge force multiplier to our engineering team to be able to pull on to not just random contributors around the world but true extra contributors from different agencies and so forth. We've gone from being basically a small user of this reactive technology to probably the largest reactive contributor outside of Facebook beta. And so it's actually been a really important year for us because this is a super powerful technology for the future, and we've established ourselves as the leading name in it. So with that in mind, I'd like to talk a little bit about the new Expensify itself. And so new Expensify, it's a new technology to solve some old products. Now our strategy hasn't really changed. It's really about just doubling down and improving on the strategy that we've always had. And to kind of reiterate that strategy, Step one is we're going to capture a huge untapped market. And so we think 99% of the global opportunity is really in the VSB, SMB and no one's going after that right now. We think that we can build a platform that can tap this untapped market and basically grow uncontested. We think the only way that can happen, though, is with the bottom-up viral strategy, where the customers themselves promote Expensify just by the virtue of using it, and then we can monetize that primarily through high-margin subscriptions. I tend break in -- to dig in a little bit more to kind of talk about that. Step one, when we talk about the VSB, it really is a huge industry. We're talking over 1 billion potential employees around the world in companies under 250 employees. It is a huge market. It is so much bigger than the current market, and it's almost entirely untapped. Just digging into the U.S. alone, like 99.9% of all U.S. businesses are small businesses. Again, this is not just a global phenomenon. It's a local phenomenon in the United States. It's a huge, huge opportunity. And it's not like no one's known about it. Thus no one has actually taken a business model that can actually incredibly go out and get it. And so that business model works through viral lead generation. And it's not a new business model. Others have done it as well. So I'd say first is chat functionality is inherently viral. You can't talk to yourselves. To use the product itself, you have to go talk to someone else. What's at got to 1 billion users with 73 employees. We think the chat's an incredibly viral use case, and that's basically what the Internet was primarily built on. Likewise, payments, same thing. You can't pay yourself. You got to pay someone else. Payments are incredibly valuable, is godly viral. Venmo got to hundreds of millions of users because of this viral dynamic overall. And third, we'd say document management is inherently a viral function itself. Dropbox sort of introduced the entire consumerization of IT. The reciprocal reward program is a master class in how to grow viral. And so in case all of these document management and all of these, the three major use cases or chat, payment documents, that really is expense management. Expense management already exists in the intersection of those three. So it's not that extensive is pushing into each one of these. Expensify has always done all of these because they're very active of submitting the entry port to someone and you're talking with your admin about the expenses, that is a chat application. Likewise, it's obviously a payment application because you're getting paid for your centers. But it's also a document sharing application. I mean the most obvious documents are receipts, which was millions and millions of but also there's a bunch of other supporting documentation that goes into it as well. And so chat payments and documents, that's really what expense management is, and we think that actually exist in sort of the overlap of these three incredibly viral use cases. And so when we think about building on top of that for a new Expensify, it's really just doubling down on what these core strengths are and pushing a little bit into each of these different areas. Now we're not going to dislodge or these players anytime soon. But we think we can take a bite out of the market. More importantly, we can take the bite. It's right next to ours. Wherever we see the intersection of sort of chat payments and document we think there's a real opportunity to grow from there and no better place in the world for that is the accounting community because that's what they do all day every day. In a particular accounting firm, sure, many of them are processing expense reports, but the bulk of the accounting firm is actually doing tax and compliance. And that's just basically a ton of talking, a ton of Excel spreadsheet. So kind of the interaction around -- between organizations, not just within their own. And so we actually think the accounting community is a prime opportunity for this key intersection, and we think new Expensify can be targeted directly to them. So if we talk about basically what new Expensify is. Now again, we've been talking about it for a long time. And at its core, it's fundamentally a chat system. As you can see, it deals very much like what's apps, whatever it might be. You got your chats on the left, who you're going to talk to you a major conversation, you can do threads, you can react. And basically, it works a lot like any the chat systems. But it's kind of a few tricks out of the hood. One is it's a universal chat system. You can just basically mention not just people in your workspace, you can mention any e-mail address or phone number and we'll hold them direct into that chat room. And so think of like Slack, except without all that garbage about dealing with different workspaces and things like this. More it’s like discord but without all the weird gamer stuff around it. Or it's basically -- it's a more business-oriented, super flexible global chat solution designs where you can -- anyone that has an e-mail address or a phone number, you can talk with them. And likewise, they don't even have to use it yet. If you choose to talk to someone with the Expensify app via e-mail or text messaging, we will just e-mail them or text them. And if they respond to the email attacks, we'll show that tool. So it's a tool that you can choose to adopt as an individual, and you can use with 100% of people who have e-mail addresses and phone numbers and then we will communicate with them, however, is convenient for them. So it's a very powerful chat foundation. But it's also, of course, a payments tool. Now it's still basically the same chat experience. You can still talk to people and things like this. But a major part of talking to people is actually to share documents with them, share receipts with them, share payments requests and so forth. And then when you do that, they can click in to basically pay the payments. They can pull up their traditional sort of expense management sort of money page, we call it, where you can search by a reports and expense and things like this. So it has all the sort of same power that we've built up over the past 15 years doing expense management on a global basis. But presented to the chat centric context where every single data object can we talked about. So it's not just about paying people. And it's not just about talking to people after the expense is done. It's also trying to capture some of the conversation that led up to that expense overall. And so it's -- yes, it's a chat tool. Yes, it's a payment tool, but it's also a document management tool. Because again, this isn't with new. Expense management has always been about document management. And so now we're fiscally bringing that more to the forefront, especially when you start thinking about accounting firms, which are doing a lot of document heavy task-based functionality. If you're closing the books on a monthly basis, it means every month, you're spinning up a whole bunch of conversations about each basically category and ledger different sort of tasks the ed to close out and so forth. Now historically, you would use e-mail, Excel, maybe some sort of an issue attracting system, whatever it is. In our case, you can do all of that on the platform. You can take everything from the payments to the reconciliation and all of the discussions in between on the same platform. We just basically upload the files themselves and then we will store them permanently and securely inside of our cloud architecture. And so again, it's a universal system, but that means it also becomes a universal document sharing system. If you need to chat with or see a document with anyone in the world, the e-mail text now we become a tool to do that. So these are not new use cases. As you can see, chat payment document management, these are not distinct experiences. It's not like you to go open to the chat experience or whatever. Every one of these is all three. When you're sharing documents or chatting, you're doing payments, you're infusing all three of the use cases throughout the entire product and at all times. And so the ways when we keep talking about chat is because we think that chat allows me to sort of -- allows us to add a moat out of every feature. Again, expense management isn't new as this has been around since the dawn of time. But we think that actually building a collaborative real-time experience around it is, and we can bring new life into these use cases. And in the process of doing so, expand in this huge market that's been largely untapped. Now we talk about this idea of real-time expense processing. What makes it real time is that people are in the product already so they're in a position to act and build time. And as much as we might like, basically, a user to prioritize expense reports, they're not -- if it's not on their phone, if they're not actually in front of their face, they're just going to ignore it for as long as possible. Great thing about getting people into a real-time chat experience, however, is that when they receive the payment request, they immediately turn around and just to prove it because it's just right there. We make it so easy to do. So we can cut days out of the reimbursement process merely because days are waiting for the user to actually do something. We can take an action that took 72 hours and make it to 7 seconds. And so it's a completely different experience because Chat changes the behavior of the user to be into the products dell times, and that's in the position to act in a very different manner than they can another tool. So you can't just -- it's not a matter of just making the money move fast. You have to make the user lose fast. That's a whole different experience. Second, when we do bill pay and invoicing, again, functional that we've had for a long time. But our experience is about trying to capture more of the conversation around the bill and the invoice itself. Because every time you invoice our clients or pay a bill from the clients, -- there's a conversation around there. preceding that engagement was basically some conversation around MSA and SOW. There are some terms of the contract, whatever it might be. Currently, that conversation happens in, I don't know, e-mail, Slack or maybe a phone or something like this. Now we can capture all of those contract conversations in the chat tool itself, and then we can be the long-term storage repository of the final terms of the deal. So when you're reviewing the invoice, the invoice terms are actually right there in products. You see when it's supposed to start and how much it's going to cost. And so when you're actually approving a bill, you can assess whether or not that bill is actually in line with the stated purpose of the agreement itself. It's a completely different experience paying bill when we're able to talk to everyone involved in real time, and that's just another feature of adding sort of infusing chat about the existing old experiences. And next, let me talk about travel management. Now we've been talking about travel for a long time. We just travel bookings and so forth. But we think that there's a great opportunity for -- I think the term is a leisure. I don't know why it's called that. I do know was call that business plus leisure and just a fantastic term. can't got to love the Internet. But anyway, I think that a great thing about leisure is that when you're traveling for work, you're going cool places. And you're -- so the idea of book-ending and staying a couple of extra days and so forth, it's incredibly common, but it's not necessarily supported by the traditional tools. Additionally, when you travel places, you're traveling with other people, and you don't work all the time. You have off-hours. -- when you go to a conference, people are on call or on duty when -- but then they go wild out at night. And so as a result, we try to recognize the real-world social dynamic of people who are doing business travel. And there's a lot of -- normally, you would basically spin off of WhatsApp group or something like this to sort of after hours, you go someplace else. Instead, we just build that social group for you automatically. When you travel and multiple people travel to the same city, we're just going to throw them to a chat room together. So they can actually start coordinating their dinners and the act or of actual work activities right here in products. And so again, travel management is nothing new, but a social sort of leisure-based travel management is new. And I think that's something that's highly defensible because it requires integrated seamless chat functionality that has no one else has. And then finally, we talked about Universal Chat. And basically, everything we talked about here is designed to sort of cross IT countries seamlessly. Like you don't need an account. You don't need a password or any of this. It's basically just built in automatically. So anyone with an e-mail address or phone number, you can collaborate with. They can join doesn't require an app. You just open up in the mobile app or just respond to the e-mail, whatever it might be. So we're going -- we're working very hard to eliminate the barrier to adoption, such that no matter who you integrate with and who you collaborate with, they can engage with you directly to the product in whatever terms are most sort of pallet. And so all of this foundation, we think, creates a highly sort of dispensable number of values for of the high-margin subscription because fundamentally, in the end, pretty much any technology can be reproduced -- but it's very hard to reproduce chat functionality because that is actually held at the highest standard of any sort of usability or reliability and performance sort of standards. And so this is a completely different level of technology development. That's why we've been spending so long on it, and that's why we're years ahead of what we think the competition to do. So the kind of a of this overall, the three major sort of components of what we think is a long-term growth is first, we start with the ESB SMB market because it's huge and untapped and no one else is going after it. There is really no organized competition there. It's -- our competition is e-mail in it cell, and it's not fighting back. And so we think that it's a huge opportunity that's largely uncontested. Second, we think the only way to go out and get it, that the only way any also has ever gotten it was through viral word of mouth. And we're the only ones even trying that. If you look at any of our competition, all of them have the exact same business model, pretty much the exact same product being sold the exact same way, and it's all basically strongly. So we think that the way that you can capture this, it has to be with a different angle. The way others have captured this huge untapped opportunity has been through a viral word-of-mouth manner. Now -- and we're going to do that for expense management because we think that we're at the sort of the nexus of the three most important and most viral use cases in the Internet. And so we think they'll complete that again. And then finally, we think the subscriptions are the way that you can make profit in the sand sort of like red competitors because it's not a new idea to want to do everything, but actually doing everything is quite hard. And we've been working on building the foundation for a very, very long time. We think in the end, the most defensible way to operate in this market is what the best unit economics. It's basically to have the lowest cost acquisition into the largest market with the highest margins. Not exactly the most genius stuff, but saying it is actually quite hard. I'm saying it's easy, but doing it is quite hard. And so we've been focused entirely on unit economics and sort of profitable long-term growth for a very long time. And so we think that we have a very strong advantage of the competition, which is just now starting to think about this. Finally, I'd be remiss not to say something about AI because that just seems to be the thing that everyone's picked up on. But it's not a coincidence that Expensify has been pushing a chat focus for a very long time because -- we've known that this is going to come. I mean everyone's known it's going to come. But now it's going to come is different than actually doing something about it. We built our entire platform around chat because chat is the language of AI. The sort of generative AI chatbots are -- it's going to completely change how user interfaces are designed. Like historically, there's a bunch of buttons. There's a bunch of searching and things like this. And that's still going to be there in a way, but you can interact with AIs more natively actually through chat, to talking and things like this. And so our platform is about trying to build a single foundation where all kinds of information and people can collaborate on the same level of the AIs themselves. And so if you have a super intelligent hanging out with you don't want to basically just press a bunch of buttons to talk to them. That's not actually how they talk, they talk in the language that we talk as well. And so chat is the language of AI and Expensify as a foundation such as the AIs can collaborate on an equal footing with humans themselves. So we've been talking about all the stuff for such a long time. And I know that it's been a lot of work to get to this point, but we're extremely happy to actually start showing it rather than just talking about it. And so here on the screen at a QR code, one more trick of Expensify chat is that it's got public roots. If you scan that code, you're going to be on web and mobile, whatever it might be. You dropped directly into a room where again, don't need to sign up, you don't even need to type an e-mail address. You can just observe and read a bunch more information. There, you're going to get direct access to me, the rest of the product team, the executive team to talk in real time about the project itself. Now again, this isn't about financials. This conversation is about the road map itself. So it basically stick to the topic. But if any questions about basically how the product works, why we're doing certain things, how is differentiated from the competition and so forth. That's where we would love to talk with you. And so just scan that code to drop directly into a room, you're going to see the whole chat experience. You can start requesting real money from your friends. You can start splitting bills, you can start experiencing everything we're talking about right now. It works on all platforms, works with e-mail, phone number works everything. We think it would be great that you create an account, but we'll talk to you there. So I can't wait to talk to you soon. It's going to be a great time.
Unidentified Company Representative: With that, I guess, let's open it up to questions. Vicki.
Operator: Great. Let's get started with Citi. George, (ph) do we have you on the line?
Unidentified Participant: Yeah. This is George on for Steve Enders. Thanks for taking the questions. Maybe just to start with on the paid user number. It was kind of flat quarter-over-quarter. Really appreciate the color on net adds versus churn versus contraction. Does that quarter-on-quarter stabilization give you guys any sense that maybe we're nearing a bottom kind of excluding seasonal factors or is there just still two poor visibility? Just kind of appreciate you update on how you guys are feeling about that metric.
Ryan Schaffer: Yeah. It's tough to say if we're at the bottom right now. Obviously, David went, as David showed, we have a lot of positive indicators for the future. January, I think I mentioned January is usually a pretty soft month in terms of users. So that's not completely unexpected. But we're working real hard to improve all inbound traffic inbound leads, and we have some exciting green shoots data that we shared with you. But I think it's probably jury still loud what furthers the bottom or not. Obviously, we hope so, but is cross. We'll now see.
Unidentified Participant: Great. Okay. And then one quick follow-up. I appreciate the FCF guidance and obviously, a big improvement in cash flow generation this quarter. Do you -- is there more cost cutting on the horizon that's required in order to hit that FCF target or do you guys believe you have things in place?
Ryan Schaffer: It's a good question. So we implemented the changes midway through the quarter. So there's no -- at this point in time, there is no additional cuts needed. We've made all the cuts. Not all of them took effect in time to be experienced in Q4. So we do believe that we'll see a greater impact of the cuts in Q1 and future quarters. But as of today, everything is the momentum, we don't need to do anything else.
Unidentified Participant: Okay. Thanks for taking the questions.
Ryan Schaffer: Thank you.
Operator: All right. Next, we have JP Morgan.
Unidentified Participant: Hello, everyone. Thank you for letting me ask a question, and hi, David. Nice to meet you. So I was wondering, if you could comment on the long-awaited migration to the new Expensify. Is the statement in the press release about the global launch in 2024. Does that imply that you expect the migration to be fully completed this year?
David Barrett: Great question. So -- it's a rolling launch. I mean, as you can see, it's already out. Customers are using it. It's being used for different use cases. We are migrating people over in batches and so forth. We intend to keep the old website around for as long as people need it and we don't know how long exactly that's going to be because it's basically -- we're pulling everyone over with a honey that sinter -- is that the right phrase. And so we want to make sure that we're taking the time to do it right. We're not in a hurry to basically push people over. We're basically making sure that they come over time. So I can't predict that. I would like to say yes, but I just -- I don't know for certain because fundamentally, that's going to be up to customers.
Unidentified Participant: Okay. Perfect. And Ryan, a quick question about the interchange I remember last quarter, you were suggesting that the transition may take up to a year because new customers will be on the new card, but all customers will switch whenever their contract comes up. So when do you expect to see the most impact from this transition throughout the year? And what was the initial impact on revenue perhaps in the fourth quarter? Because I can see that you've probably restated historic numbers as well for the EUR11 million versus historic numbers? And what was the impact that you booked in the fourth quarter?
Ryan Schaffer: So the impact in the fourth quarter is essentially nothing. You'll see that in Q1 and going forward in terms of the speed of that transition, it's -- similar to what David said, it's going to be kind of at the speed of customers. Now they will be forced eventually to switch over. But I would -- if I had to guess, I would think that it's going to be initially a relatively large smart customers and then kind of a long tail, and we're going to have to kind of nudge some people, but we do have some carats to get over. We have not yet announced. We have some function -- new card functionality coming out that I'm not going to announce here, but we will announce early that is only available on the new card program. So they have a very actual real benefit to switch over as they can -- they'll be able to do exciting helpful things with the new card that they couldn't do with the old card. But look for maybe an announcement on that in the coming weeks. But we do think that we have really good reasons for them to switch over. Another point is also we're starting to see more coming up on the expiration date of our initial customers. So the -- all the new cards will also be under the new program. So we're going to hit a point where our initial expense by card customers their cards are expiring, so they will automatically be migrated over when they get their new cards.
Unidentified Participant: Thank you for that color. Appreciate it.
Ryan Schaffer: No problem. Great, questions.
Operator: Great. Now we have JMP Securities.
Aaron Kimson: Hi. This is Aaron from JMP. [indiscernible] questions. First off, you call that you're expecting a 20% uplift on card take rates becoming your own program [indiscernible] Can you talk a little bit about the challenges associated with replacing your prior program manager and whether it's something any company can pull off or if there's something you need to Expensify as well.
David Barrett: That's a good question. It's a good question. It's not easy. We did it. We have and it took us a while as you all know, but it's -- I knew our COO is actually formally from Marketo. So we might have a little bit of an advantage there on... Well, maybe also because it requires taking over a lot of technology as well that we do in-house. And so not everyone has the same level of sort of in-house technology expertise to handle like the real-time authorizations and so forth. And so I think that we have an advantage of our companies because we've already built so much of the card product. We've already taken basically already taken that in-house. And so therefore, migrating to becoming our own program manager is a relatively low lift for us was for others. It would be all legal lift that we went through and also on top of that, taking on like milli second latency sort of like high uptime transactional processing. And like -- so I think it's actually -- it's not impossible clearly we did it, but you can see it took us a lot of time and we worked really hard on it. So I think going to take anyone else -- at least as long as us. Yes.
Ryan Schaffer: We have more of a build versus buy culture here. So I think if a company had more of a by culture that would not really struggled to do that.
Aaron Kimson: That's helpful. And then in May 2022, the Board authorized a $50 million share repurchase plan. I think you still have about $41 million approved under that authorization. So just trying to get an understanding of how you're thinking, I mean, valuations are less than 1 times next year's revenue. You have the guidance for $10 million to $12 million in '24 free cash flow, about $25 million in net cash. Do you anticipate prioritizing share repurchases in '24? And is there a certain level of net cash you want to maintain around the business and how to think about it...?
Ryan Schaffer: It's a great question. I think in the near term, so you might have thought we eliminated most of our debt. We still do have a little bit in our revolving facility. So I might think would be focus more on reducing that. But I think you're absolutely right that at the share prices and generating the cash flow that we expect to, that it's pretty good move on our part, but no firm fitments or anything to announce at this point in time.
Aaron Kimson: Understood. Thank you, guys.
Operator: All right. Now we have Piper Sandler.
Unidentified Participant: Okay. Thanks for taking the question. It looks like there continues to be pressure on the subscription revenue side of the business. I was wondering if there's any other color you could provide there may be on how much of this drag you would attribute to business closures and downsizing and maybe any items you're taking to mitigate it? [Multiple Speakers]
David Barrett: Yeah. Well, I think I would say just kind of reiterating what I mentioned earlier, and fundamentally, acquisitions and churn is stable. And I would say those are the most important metrics basically for us to control because I think those really signify the health of Expensify as a business in terms of our economics of acquisition and retention. But I would say, and the challenge is, yes, our 2022 was good for our customers and that they were actually expanding as businesses and adding seats hiring and things on like this. 2023 was bad for customers. And that they were reducing seats, they were lowering. They weren't necessarily leaving Expensify. They just needed less expensify because they had fewer employees and less activity. And so I'd say, like we can't control the macro environment, but we can sort of shield ourselves from it as much as possible and take advantage of it when it's good. And fundamentally, I think -- the takeaway here is that the business itself is healthy, but we are basically subject to the macro effects of customer expansion contraction. I don't know if that really answers the question.
Unidentified Participant: Yes. That makes sense. And I guess a quick follow-up in your conversation with customers, I guess, has that helped you at all with getting on to sites in terms of a potential trough. I know there's been a couple of quarters of increasing contraction.
Ryan Schaffer: Sorry, could you say one more time?
Unidentified Participant: Yeah. I just say your conversations with customers, is that helping you at all and getting line of sight in terms of a potential trough in the contraction.
Ryan Schaffer: I see. [Indiscernible] customers basically have customers indicated that they're going to continue downsizing?
David Barrett: Interesting. I don't think we have insight into that.
Ryan Schaffer: We have a lot of customers. So it's tens of thousands. So it's tough to have like a statement that we feel super confident because there's so many of them. It's not -- the reduction in seat on traction isn't from our 10 largest customers. It's from a lot of customers you've never heard, right? Small businesses...
David Barrett: Tens of thousands of houses...
Ryan Schaffer: Yes. It's not -- we are really popular with tech. And obviously, tech has been laying people off. But -- we don't have any definitive statement from customers on how they're going because there's no customer group that could speak on behalf of everybody.
David Barrett: Yeah. I wish I knew. I wish I knew it, but I don't know.
Operator: Perfect. Okay. Let's move in and see if [indiscernible] We can circle back. Let's go to Lake Street Capital.
Unidentified Participant: Hey, guys. We went to that previous slide that we had before, just on the customer contraction. I mean, is there any data you can point to that maybe you're seeing signs of improvement in that metric? And I know you obviously are going to turn users in January because it's historically softer, but I guess is there any data that you can point to maybe that you can give help us understand if you're seeing any sort of improvement with customer spend, I guess?
Ryan Schaffer: Nothing to announce other than obviously what we've presented here, we have January data. And obviously, we have our historical data. We -- I think the takeaway from this slide is that our customers have been having a difficult time that's reflected kind of in our financials. But we also don't think that this is a permanent situation. We think the economy is going to improve. And obviously, as the economic pressures decrease, we expect to see recovery in our customer base.
Unidentified Participant: All right. Thank, guys. And then just last one for me. So with these cost cuts implemented midway through the quarter, I mean, so Q1, are you expecting to sequentially decline in OpEx? And then I guess, how do we -- how should we expect OpEx throughout the remainder of 2024?
Ryan Schaffer: So we initiated full year guidance, but given that the -- we saw a big recovery in OpEx in Q4, and those changes didn't take place until halfway through the quarter. We expect to feel the full benefit of those cost cuttings in Q1. So yes, we do expect that to improve quarter-over-quarter.
Unidentified Participant: Okay. Thanks, guys.
Operator: Great. Let's check in with FT Partners. Okay. Let's circle back to BMO, -- see if we can get you unmuted. Daniel, you there?
Daniel Jester: Yeah. Can you hear me?
Ryan Schaffer: Yes
Daniel Jester: Awesome. All right. Great. Appreciate it. Thanks for taking the question. So I joined late, so I apologize if this is a topic that was already discussed at length. But the last couple of quarters, you talked about sort of building the top of the funnel and some of the investments you're making there to kind of accelerate the customer acquisition trajectory. Can you just spend a moment on sort of what you have been doing there? And anything that we should be on the lookout for is sort of thinking about the gate plan for '24?
David Barrett: Sure. I think that -- I mean, -- so what are the advantages of having a business that kicks off a lot of cash is that you can take big swings on things. And so I think that throughout 2023, we're trying a lot of different things. And I think what ultimately stuck the best was our investment in SEO, and that's why I think we really -- we've been really, really pleased with the results there. We're also making additional investments that have longer-term returns and so forth. Fundamentally, I don't have any sort of crystal ball as to exactly how this is going to play out in the future, more than what we've already suggested for our cash flow guidance. And so I'd say, fundamentally, we feel really confident in investments that we're making, but it's just a lot of experimentation. Because I know it kind of like a wish you watch the answer, but in general, there's no one thing. It's not like we're basically putting all of our eggs in one basket. We're trying a whole range of things. Some work, some don't. And I think that, in particular, the SEO has been really good.
Daniel Jester: Okay. Got you. And then -- on the user churn, I understand some of that is certainly macro-driven and completely outside of your control. But maybe, again, sort of your latest thoughts about thinking what you can do to the extent that you can to limit churn if there's any additional leverage that you're thinking about?
Ryan Schaffer: Yes. So we have been making some investments in pre-using churn. David spoke about global reimbursement. This is really more of a more enterprise, mid-market focused feature, companies that have multiple subsidiaries in different countries. We also have some announcements that were product announcements that we have coming up that we think will be beneficial to helping churn as well. Again, something we announced for Q4, but we have been developing quite rapidly. David spoke about the success of our outsourced contributor program. That took us a little bit to kind of get digging, but now it's a well-oiled machine, and the rate of development has dramatically increased, and we're going to be deploying products quite quickly here in 2024, and we think that is going to be beneficial.
David Barrett: Yeah. I think the contributor program has been a real secret weapon in that we've been able to, I mean, effectively double or triple the engineering the vast increase the engineering team -- and that just accelerates just development overall. And so I'd say, yes, I think that we are really, really happy that we've been making these major investments into the foundation of the platform. And now I think we're to a point where we can begin really rapidly rolling out functionality that our customers are asking for. I mean global reimbursement was one, but I think there's a long, long list of requests.
Ryan Schaffer: And we just released budgets to you.
David Barrett: In budgeting and insights. So we didn't bore the slides with basically a list of every single release. But yes, I'd say there's a whole bunch of features that basically are directly kind of pan service to the customers.
Daniel Jester: Okay. And then maybe just one last one for me. Appreciate the free cash flow guidance, it's -- great to see that. I guess philosophically, how should we approach your thinking about the guidance? Like -- does it assume kind of like a stable macro? Does it -- like what are the fundamental pillars that underpin the guidance so we can think about your progression against that this year. Thank you.
Ryan Schaffer: So it does not rely on macro environment improving. It's a -- there's some conservatism baked into that. But given kind of the revenue has been soft in recent quarters, I think that conservatism is warranted. But it doesn't -- that is not all wishful guidance. Like we really hope this happens. We do feel good about this number, and we don't need some change in the world. I tout to happen, we feel pretty good about it any of those targets.
David Barrett: Yeah. It doesn't require a bunch of things to go right for that work. That basically is like if everything stays as we plan, then it should be fine.
Daniel Jester: All right. Thanks very much.
David Barrett: Thank you.
Operator: All right. To the end of the Q&A.
Ryan Schaffer: All right. Thank you all for joining. And as David mentioned, we have opened up a public room in our new product. And we're not going to talk about financials there for obvious reasons. But if you want to join and talk to us about the product road map, we would love to talk to you. We think this is really exciting. It's also a great opportunity for retail investors to get access to our executive team, a product management team on a level that is not traditionally seen in public companies. So we think it's kind of novel and exciting and we're looking forward to talking to you all there. So thank you all for your time, and we'll see you next quarter.
David Barrett: Thanks everyone.
Operator: Good bye.